Operator: Good day, everyone and welcome to News Corp Third Quarter Fiscal ‘18 Earnings Conference Call. Today's conference is being recorded. At this time, I'd like to turn the call over to Michael Florin, Senior Vice President and Head of Investor Relations. Please go ahead sir.
Michael Florin: Thank you very much, Sophie. Hello everyone and welcome to News Corp's fiscal third quarter 2018 earnings call. We issued our earnings press release about an hour ago and it's now posted on our website at newscorp.com. On the call today are Robert Thomson, Chief Executive; and Susan Panuccio, Chief Financial Officer. We'll open with some prepared remarks and then we'll be happy to take questions from the investment community. This call may include certain forward-looking information with respect to News Corp's business and strategy. Actual results could differ materially from what is said. News Corp's Form 10-K and Form 10-Q filings identify risks and uncertainties that could cause actual results to differ and contain cautionary statements regarding forward-looking information. Additionally, this call will include certain non-GAAP financial measurements such as total segment EBITDA, adjusted segment EBITDA, and adjusted EPS. The definitions and GAAP to non-GAAP reconciliations of such measures can be found in our earnings release. With that, I will pass it over to Robert Thomson for some opening comments.
Robert Thomson: Thank you, Mike. In the third quarter, we again saw strong results across the company with revenue growth in every segment. In fact, we experienced higher growth in the third quarter than in any quarter since our rebirth as the new News in 2013. The company continues to deliver on its strategic mission to become increasingly global and digital with an ever greater focus on collaboration and innovation and that focus is evident from this quarter's results. We are particularly pleased with the progress in digital real estate where revenues grew 27% and we fortified the business for future growth. Revenues for the quarter were $2.1 billion, representing a 6% increase year-over-year. Total segment EBITDA for Q3 was $182 million, a 15% decline from last year, a result that was impacted by certain singular items, which Susan will momentarily detail. It is worth highlighting that for the first nine months, reported revenues were 6.3 billion, up 4% year-over-year and total segment EBITDA was $760 million, up 13% on the equivalent period last year. Reported earnings in the third quarter were affected by non-cash write downs of 998 million related to Foxtel and Fox Sports Australia. As was previously disclosed in March, non-cash impairment charges of $165 million related to News America marketing. Starting with the fourth quarter, the combination of the digital real estate services and cable TV businesses is expected to account for significantly more than half of our profits. The Foxtel, Fox Sports Australia consolidation is also expected to make circulation and subscription revenues, the biggest revenue stream for News Corp for the first time. This should give us more protection against the vicissitudes of a volatile advertising market. The social and political debate over the digital platforms and their influence has intensified in recent months as is certainly appropriate. For many years, News Corps, under the leadership of Rupert and Lachlan Murdoch has highlighted the deleterious effect the platforms have had on journalism. The outcome of this debate will have a profound impact on our business and on the societies in which we operate. The end of Google's prejudicial first click free policy, which punished high quality journalism, has already benefited our masters and we appreciate the work of Sundar Pichai in particular. It is however just a first step on the pathway to prominence. We and other publishers are also in discussion with Facebook, which certainly [indiscernible] about virtue and veracity. Well, authenticated professional news may represent a minority of the content on Facebook, there is no doubt that the company needs trusted publishers to enhance and experience what has been polluted by fake news and ubiquitous ill-informed, sometimes malicious gossip. The sheer amount of personal data collected by Facebook, Google and Amazon means that governments are rightly considering the establishment of an algorithm review board, which, if properly conceived, would provide the necessary transparency for individuals, clients and competitors concerned about algorithmic abuse. These algorithms are already potent, but they are destined to be much more formidable and there are abundance potential to skew news and skewer customers’ needs to be better understood and monitored. And an algorithm review board or ARB would be particularly useful in the oversight of companies which have horizontal dominance and use that leverage to dominate a vertical, such as Amazon with audiobooks and potentially Facebook with dating. We are confident that a renewed focus on provenance and on integrity will benefit our masters, our journalism and our advertising clients. We are learning more each day about the potential dangers of digital. Challenging these dominant digital platforms is important for our businesses but also meaningful for the societies in which we operate. Now, let's examine in more detail this quarter’s results. I'll start with digital real estate services, which continued to fulfill its promise as a core and increasingly important revenue and profit driver. REA Group had an impressive quarter and Tracey Fellows and her team are continuing to provide valuable services to our clients, while being restlessly determined to enhance the experience on the side. REA maintains a very healthy lead over its competitor and solidified its position with 35% revenue growth year-over-year, helped in part by emerging financial services business. REA gained traction with its home mortgage operations and as of the end of March, had more than a quarter of million self-completed financial profiles. Given the concern about the financial services industry in Australia, the team perceived an opening for business to truly focus on customer's needs and aspirations. Meanwhile REA saw a strong traffic growth in Southeast Asia with signs of improving revenue trends from the previous quarter in a market that is still in the early days of its digital evolution. Last week, REA announced the acquisition of Hometrack Australia, a provider of innovative, property data to the financial services sector. This will allow REA to deliver an increasing flow of insightful intelligence to customers and consumers and should further strengthen its position at the heart of the Australian property market. At Move, there was 15% revenue growth overall, a healthy 19% coming from its core real estate business. It was a robust performance in the lead based connections for buyers’ product as well as strong audience growth and more intense engagement. In the next few months, realtor.com will be launching real suite, a mobile based system, which will enable advertisers to provide the best possible service to their clients, increasing responsiveness, highlighting meaningful leads and providing consumers with a level of service they expect throughout the transaction process. Meanwhile, we note with much interest that Zillow is expanding its Instant Offers program. Understandably, agents and brokers are eyeing this move with legitimate concern, as we believe Zillow’s focus on house flipping is indicative of its long term intent. Having a very close relationship with agents and brokers is even more valuable today as we work with the industry to drive high quality lead volume and provide sophisticated market intelligence to sellers and buyers. At News and Information Services, while print advertising remains challenging, we saw an overall improvement in advertising trends in the third quarter. News UK reported the second consecutive quarter of ad revenue growth for the first time in seven years and under Rebekah Brooks’ leadership, all our UK mastheads gained market share in circulation. Also in the UK, Wallace Group experienced strong listenership and improved revenues compared to the prior year with standout performances at Virgin Radio and Talkradio. Wireless’ audience growth has outpaced UK radio market in general based on the latest RAJAR data. Talksport is also looking forward expectantly to its coverage of the World Cup this June. Clearly, audience interest will in part depend on England's on field exploits. Let us hope that past performance is no guarantee of future results. Unruly had another strong quarter, driven by growth in the US, UK and Japan, as programmatic continues to burgeon. Unruly’s consistent innovation in the ad distribution market and its provision of authenticated audiences make it particularly valuable at time when advertisers are questioning value and veracity. At Dow Jones, The Wall Street Journal's digital only subscriber growth was 24% year-over-year. Circulation revenues at Jones again increased 10%, as our publications served a growing public demand for timely and reliable news. Total subscribers across Dow Jones recently passed the 3 million target based on preliminary internal metrics and we expect continued growth in coming quarters. Revenue to the professional information business expanded 9%, led by the sterling performance of risk and compliance, with 45% year-over-year growth and its revenues. Reducing risk and ensuring compliance are clearly imperatives for our corporate clients. While advertising declined overall, it did so at a slower right compared to Q2, driven by low teens digital ad growth. The New York Post had strong advertising and audience numbers with 87 million uniques in March, a 72% year over year spike. In Australia, we made progress in reviewing our original papers and continue to focus on core metro titles and News Australia, streamlining the business and improving operating efficiencies. Digital Paid subscribers News Corp Australia grew 23% and we also saw robust digital ad revenue growth. One final note for the news and information services segment. Taken together, our premium publications, the Journal, the Times, and Sunday Times and The Australian experienced an average growth in digital subscriptions for Q3 of more than 20%, a testament to the success of the digital transformation of these masters. In book publishing, we experienced a strong quarter with robust revenue and profitability at HarperCollins. This success was driven in part by best-selling US titles such as AJ Finn, The Woman in the Window, the only debut work of fiction in the past 12 years to immediately reach number one and the continuing strength of Mark Manson's the Subtle Art of Not Giving an expletive. Notably, our Christian publishing arm performed well with one of the year's best performing titles Kathie Lee Gifford’s, The Rock, the Road and the Rabbi and renewed interest in the works of Billy Graham. Bryan Murray’s team continues to look for ways to leverage our global platform, including an important pact with bestselling author Daniel Silva, acquiring the world rights to six more of his books, starting with the Other Woman in July 2018. We have finalized a licensing deal with Amazon to create an original television series based on the Lord of The Rings by JRR Tolkien, underscoring the power of our backlist. We expect to generate incremental revenue in the fourth quarter of this fiscal year as a result of this deal. We are excited about the combining of Foxtel and Fox Sports Australia, giving News Corp 65% of the business and our partners at Telstra 35%. This agreement creates fresh opportunities for collaboration and comes at a time when over the top is becoming a significant part of our consumer portfolio. We believe Foxtel and Fox Sports Australia together will provide consumers a compelling offering with incomparable sports programming and a tangibly improved user experience. Cricket is core to Australian culture and we've secured prime rights for six years with Cricket Australia. Fox Sports has plans to launch a dedicated cricket channel in the coming months to make the most of those rights. For the first time, fans will be able to watch the game without interruption where and when they want. Fox Sports will simulcast all cricket matches, both in linear and digital formats and will have valuable exclusivity for a number of crucial encounters. The cricket contract also means that we are now able to boast strong sports programming year round, given our core NRL and IFL rights and we are optimistic that a more complete sports offering will minimize churn. The coming year is obviously of vital importance and we expect the repositioning to be followed by a renaissance at the company. In summary, we are pleased with revenue growth we've seen across every segment of our business. We cherish the strength of digital scoops subscriptions at mastheads, the vigor of our digital real estate and global book publishing businesses and the promise of a significant transformation of News Corp with the consolidation of Foxtel in the current quarter. The character of our company will be enhanced and our reported revenue and EBITDA will be boosted significantly. With that, I turn the call over to our CFO, Susan Panuccio.
Susan Panuccio: Thank you, Robert. Turning to the financials, fiscal 2018 third quarter total revenues were $2.1 billion, up 6% compared to the prior year with revenue gains across the portfolio led by our digital real estate services segment. Reported total segment EBITDA was $182 million, down from $215 million in the prior year. For the quarter, we reported a loss per share of $1.94 compared to a loss of $1 in the prior year. The loss was primarily driven by the pretax non-cash write downs of $998 million related to Foxtel and Fox Sports Australia. As we communicated in March, an impairment related to News America Marketing, which totaled $165 million. On an adjusted basis which excludes those and the other items shown in the press release reconciliation table, earnings per share was $0.06 compared to $0.07 in the prior year. As Robert mentioned, we close the Foxtel transaction at the beginning of the fourth quarter and those results will be consolidated with Fox Sports Australia during quarter four which I will discuss in a few moments. Twenty now to the individual operating segments. In news and information services, revenues for the quarter were $1.3 billion, up 2% versus the prior year, slightly improved rate over the previous quarter. Foreign exchange contributed $50 million this quarter to revenues. Within segment revenues, advertising revenues were down 3% and circulation and subscription revenues increased 7% with foreign currency benefiting advertising by 3% and circulation and subscription revenues by 5%. Within the segment, reported revenues at Dow Jones rose 4%, News UK rose 10%, News Australia declined 3% and News American marketing fell 5%. More revenue details will be provided in the 10-Q filing tomorrow. News and information segment EBITDA this quarter was $85 million, down 31% versus the prior year. You may also recall that last year's results included a $12 million benefit related to an adjustment to the deferred consideration for Unruly. We also had higher expenses this quarter at News UK, much of which was timing related. There are also a few highlights that I would like to mention from the segment. We again saw digital subscriber growth across our news businesses. At Dow Jones, circulation revenues grew 10%, the fourth consecutive quarter of double digit growth, benefiting from strong growth in the Wall Street Journal digital only subscribers, which are up 24% year-over-year and up 7% or 101,000 versus our fiscal second quarter. Pleasingly, we also saw an increase in subscriber ARPU at Down Jones. In addition, we again saw strong year-over-year digital subscription growth at the Time, and Sunday Times, up 24% and at News Australia, up 23%. At Dow Jones, we saw further revenue acceleration in the professional information business, which contributes to overall quarter of the Dow Jones revenues. This past quarter, the professional information business posted 9% revenue growth, led by risk and compliance which grew 45% and is on pace to exceed $100 million in total sales this year. Advertising continues to be mixed across our news portfolio, but overall, showed slightly better performance from last quarter. The UK was again a solid performer with advertising up 16% versus the prior year or 3% in local currency, similar to its Q2 performance, led by digital advertising growth and moderating print advertising declines, particularly at the Sun. News Australia declined 5% versus the prior year or 9% in local currency, a slight improvement versus the second quarter rate. Dow Jones advertising was down low double digits, improving on the trend from the second quarter, led by a strong performance in digital advertising. The closure of the Wall Street Journal international print edition impacted Dow Jones advertising revenues by $6 million, which represented about half of the decline this quarter. Our cost initiatives have been centered around Australia, given the reliance on print advertising in that market. We have already significantly exceeded last year's AUD40 million in cost savings during the first nine months of the year and continue to look for additional efficiencies. We're also continuing to review our portfolio in Australia as we focus on improving our profitability. And globally as we have done in the UK, we are in discussions with industry participants about potentially sharing printing and distribution facilities to drive further operating efficiencies. Finally, at News America Marketing, overall result were lower, but saw a sequential improvement from the second quarter, benefiting from one additional insertion and higher digital growth as we expected in communication on the last earnings call. Turning to our book publishing segment, we posted a very solid quarter led by strong front list and back list performance. Revenue for the quarter increased approximately 6% to $398 million and segment EBITDA increased 16% to $43 million. Strong results from General books and Christian publishing drove overall performance this quarter. As Robert mentioned, this quarter benefited from the continued performance of the Woman in the Window by AJ Finn and strong performances from the backlist. Overall, the backlist contributed approximately 58% of revenues in the quarter, up from 52% last year, helping to drive higher margins. Total digital revenue for the quarter grew 5% and represented 22% of consumer revenues, in line with the prior year, due to the strength in the downloadable audiobooks, which now comprises 25% of digital revenues. In the digital real estate services segment, revenues increased 27% to $279 million. Reported segment EBITDA was up 17% to $88 million. REA group revenues grew 35% due to very strong residential revenue growth in Australia, including higher penetration for premium all. The integration of the smart line acquisition and benefit from currency. While listing volumes were down modestly, partly due to an early start, we saw relatively stable trends in both Melbourne and Sydney. Please refer to REA’s earnings release and their conference call, which will commence shortly after this call for additional details. News revenue rose 15% to $115 million versus the prior year, driven by a strong performance from connection suppliers, which is benefiting from higher customer flow and higher yield. While core real estate revenues grew at a notably higher right from the base growth rate, we saw slower growth in non-listing advertising revenues this quarter. Part of the plan to test reducing advertising loads in select markets to drive engagement and lead volume with early results encouraging. Average monthly unique users at realtor.com were approximately 61 million for the quarter, rising 10% versus the prior year and reached 65 million in April. News operating expenses were higher this quarter, driven by planned incremental marketing to drive revenue growth and partly to increase traction in New York. We are also rebranding our core fleet of professional services and tools ahead of a commercial launch in the next few months. In cable network programming, revenue increased $7 million or 6% to $129 million. Segment EBITDA in the quarter soured $16 million from $34 million in the prior year, primarily due to the phasing of programming amortization and higher programming costs related to the NRL, which led to approximately $22 million higher costs this quarter. We also incurred approximately $2 million of expenditure related to the proposed combination of Foxtel, Fox Sports, which was excluded from adjusted EBITDA. The bulk of the transaction cost will be recorded in the fourth quarter. With respect to equity losses from affiliates, equity losses of affiliates of $974 million reflects the $957 million non-cash write down of the carrying value of Foxtel in the quarter, as we had previously disclosed in March. This compares with negative $23 million in the prior year period. Foxtel revenues for the third quarter declined 1% to $587 million, and EBITDA decreased 21% due to planned increases in sports programming costs of $18 million, primarily related to the Australian Football League rights and carriage fees of Fox Sports Australia as well as lower revenues. On operating metrics, Foxtel’s total closing subscribers were approximately 2.8 million as of March 31, up nearly 1% versus the prior year, driven by Foxtel Now subscriptions, which were offset by lower cable and satellite subscribers and the termination of TV box subscribers as part of the planned wind down in the quarter. In the third quarter, cable and satellite churn was 15.4%, down from 16.1% and ARPU was down 1%. In early April, we completed the transaction with Telstra to combine Foxtel and Fox Sports into a new company, in which News Corp now owns 65%. The Foxtel results will be consolidated with Fox Sports Australia during the fourth quarter and it will also include approximately $1.7 billion of debt. As a consequence of the transaction, there will be some initial reinvestments required to improve the earnings and subscriber trajectory. To that end, one big step as Robert highlighted was securing long term domestic cricket rights, which will now materially improve Fox Sports’ offering, focusing on both subscriber volume and churn. On the core broadcast business, our goal will be to maintain the subscriber base and manage churn effectively. We are progressing with the rollout of IQ3, which is showing promising signs on churn reduction and ARPU lift and today has been deployed to approximately one quarter of our broadcast base. We expect to continue to expand penetration of new set top boxes and also to develop a next generation box, including half customer features. Over the top will be a key growth initiative. This past fiscal year, our product development was focused on launching an IP version of our broadcast offering, which has helped to extend our reach and capture more of the affordable segment. Our goal in fiscal ’19 is to launch new sports and non-sports products, built on an IP only platform, targeted at specific demographics. With new management in the business, we are reviewing the cost base, looking across content operations to deal further efficiencies and to ensure the business is right sized to deliver the new initiatives. Looking to the fourth quarter, there are a few comments I would like to make. News and information services, advertising trends so far appear broadly in line with the third quarter, however, we do expect slightly higher marketing costs in the fourth quarter at Dow Jones, mostly related to driving higher digital paid subscriber growth. At Fox Sports and Foxtel, we will consolidate Foxtel in the fourth quarter, which will be reflected in newly formed segment called subscription video services, which will also include the Australian news channel operator, Sky News. Overall, we expect subscriber trends at Foxtel to be relatively similar to the prior quarter, but do expect some additional OTT investment. Results in the segment are also expected to include transaction cost in the $10 million to $15 million range. In book publishing, we expect to realize over $20 million in additional revenues in the fourth quarter from the agreement with Amazon to license the Lord of the Rings by JRR Tolkien for a TV series. At digital real estate services, we expect continued strong revenue growth at REA, which should show some improvement in listing volumes, helped by the absence of Easter and like the third quarter, we anticipate hiring investment spending it move to drive traffic and support new products. While we are in the process of completing our purchase price allocation of Foxtel and evaluating the related impact from a profit and loss, there are a few items below the line worth mentioning, regarding the Foxtel consolidation. Foxtel standalone depreciation and amortization for the first nine months totaled $187 million, including $69 million for the quarter. In addition, we have also advertised an additional $49 million and $17 million for the first nine months and the quarter respectively related to the excess cost of our 50% share of the business that we acquired by the CMH acquisition in 2012. Foxtel results will be removed from the equity income and the 35% stake Telstra owns at the combined company will be reflected in minority interest going forward. We will also consolidate Foxtel’s interest expense, which will reflect the $1.7 billion in debt that we will include on our balance sheet. With that, let me hand it over to the operator for Q&A.
Operator: [Operator Instructions] And we'll take our first question from Alexia Quadrani with JPMorgan.
Alexia Quadrani: I was curious, if given all the changes in sort of the broader media industry, specifically, the M&A amongst many of the other media peers, has it influenced your longer term strategic outlook for your business? Do you think you are in the right size, right asset mix? I know you've got a lot of different things planned at different parts of your business, but it's sort of a bigger picture question.
Robert Thomson: Well, Alexia, we're constantly reviewing our situation and opportunities that may or may not arise. What we certainly won’t be doing is paying silly money for overpriced, overhyped targets. As you can see with the investments we’ve made thus far with realtor, with Harlequin, we've been able to use our existing assets to transform their value and that has been of benefit obviously to the company, but most importantly, to shareholders and we'll certainly always have shareholders in mind when contemplating any potential investments.
Operator: Next question comes from Kane Hannan with Goldman Sachs.
Kane Hannan: Can you just update us on the progress you’ve been making, pushing to the New York market and then whether that was the main driver of the increased customers you called out in the release?
Robert Thomson: Certainly, we’re rare making genuine inroads it into New York where historically realtor.com hasn't had a particularly powerful presence and overall, the audience at realtor in the quarter was 61 million monthly. That was up 10% in April. 65 million. So we're still seeing a continued growth, not only in New York, but around the country. And there's much discussion at the moment about the general health of the housing market in the US. So listing volumes down about 7.2% year-on-year at present. But when you look at the broader trends in the US economy, we're clearly going through a phase or at least I would argue on route to significantly more liquidity. The March seasonally adjusted annualized figures for sales around 5.6 million, the median sales price was up 5.8% to around 250,400. And significantly, the number of homes in the US seriously underwater in Q2 2012, that was 28.6 of US homes seriously underwater, that's down to 9.5% of homes. And given the issue with the market at the moment is not a problem of the demand, but a problem with supply and a compounding factor in the past has been a lack of job security, what -- with the strength in the US job market, you will see more people more confident about moving homes to a better job, job really means mobility, mobility means people moving and that will be good for business.
Operator: Next question comes from John Janedis with Jefferies.
John Janedis: I was hoping you could give a little bit more detail on digital subscription growth at the journal, where you’re incrementally more promotional during the quarter to drive subs, where are you sourcing them from and bigger picture, you have obviously been vocal on Google and Facebook, any thoughts there on movement in terms of monetization of news content on digital platforms?
Robert Thomson: John, entitled digital paid subscribers at the journal were up 24%, so they're now 62% of overall subs. We're seeing a broad based interest in the journal, obviously, it's a business oriented publication, but also one with general appeal for a certain demographic and that is quite broad. The other thing to bear in mind with those subscriptions is that each of them is an opportunity to upsell to higher priced, higher yielding professional information. From a broader perspective, our concern has not just been for publications, which of course is our prime concern, but also for an ecosystem, which was digitally dysfunctional, one in which premium content was actually diminished in stature by the very fact that in Google searches, you won’t basically able to find it. That has changed and we applaud that measure by Google, but as I mentioned, that's really step one on the pathway to prominence. So we're engaged and thankfully these days, unlike the past, many more publishers are engaged, not only in the US, but globally and also more governments are engaged in the debate over what the digital landscape should like. And with more focus on that ecosystem, more focus on prominence, there should be more opportunity for us for more profits.
Susan Panuccio: I think I’d just also add to your question as well, we are obviously looking to expand the offering internationally in the education with students as well, but what is pleasing is the ARPU is holding up so I think that's important even as we go to this broader base. I think the other part to your question was about our office and I think it's important to note that we haven't changed our intro office in the US. So I have to remain consistent with starting that obviously that digital growth and the ARPU growth.
Operator: The next question comes from [indiscernible].
Unidentified Analyst: My question is around the new subscription video services segment. Could you give us some idea on the expectations for cost growth within the segment, given in FY19, so looking beyond the current year, particularly given the acquisition of the cricket rights? And I know you've obviously spoken about using over the top products in a dedicated cricket channel but just interested in whether you think you can regroup those costs?
Robert Thomson: Clearly, a problem for Foxtel and Fox Sports has been the sum allowed where they wanting the compelling sports offering, which is why we acquired the cricket rights for six years and one, cost of that sum alone a lot has been significant churn. And with churn comes cost. So we are very confident that the team will put together a compelling summer package that will make Foxtel a year round experience. It’s a little early for us to give you details -- meaningful details about the level of investment in the coming, year as Susan mentioned, we will be focusing on the development of OTT and frankly addressing issues that in the past have been problematic at Foxtel around the user interface, we want a user interface that is not in your face. And there is a real opportunity, given the new structure at Foxtel, the clearer management lines and the new team under the leadership of Patrick Delaney to take advantage of what is a peerless portfolio of sports and entertainment rights.
Susan Panuccio: And I think I’ll sort of just add, our key priorities, whilst we don’t give out guidance obviously on cost going forward and what that may look like, is to stabilize the broadcast proposition and cricket is clearly going to be an important of that as Robert mentioned, particularly over the summer months to have a look at churn and the portfolio going forward. We are looking to expand the rollout of the [indiscernible] and invest in the new box going forward and so that will be something that you will see going forward and we're also looking to improve the customer service obviously to get more customers in. We’ve also mention that we're looking to expand the OTT propositions and we want to look at sports as well as non-sports genre, but we also are right sizing the cost base. So, there's been a lot of cost work actually done today, so even before the merger happened and the pain down there is still heavily focused on looking at getting costs out, so they can balance that up with the reinvestment that we're looking at. So, there's going to be lots of activity obviously that's going to happen going forward, but it always in the quest to drive subscribers at a higher value going forward.
Operator: Next question comes from Eric Katz with Wells Fargo.
Q - Eric Katz: You mentioned earlier potentially reviewing the portfolio in Australia. Have you identified assets at this point? Can you size it? What's the timeline and why now?
Susan Panuccio: I think we generally don't comment on obviously forward-looking acquisitions or divestments and I think that's a practice that we’ll stick to, but what we have said in the past is that we are always looking at our asset portfolio. We have been very clear that we're looking to simplify the portfolio and drive profitable growth. And to that end, we obviously will look at any opportunities that come our way in relation to the assets that we have down there.
Operator: Next question comes from Craig Huber with Huber Research Partners.
Craig Huber: I guess a similar question. What was the circulation revenue for Wall Street Journal Australia and UK with or without turns on a year over year basis? And then separately Susan, if I could ask housekeeping question, you gave a lot of D&A numbers, but is the quarterly D&A number starting here in the June quarter going to be roughly about 170 million where is that going to fall out, is it about 100 last quarter.
Susan Panuccio: Thanks, Craig. I think so in relation to your first question, in relation to the circulation, so in local currency, we are expecting Dow Jones to be up about 12%, Wall Street Journal up about 12%. We’re expecting local currency to be down 5% and these, we're expecting to be relatively stable. In relation -- what was your question in relation to the D&A sorry?
Craig Huber: What was the D&A for the upcoming quarter for the whole companies, including Foxtel, is that 170 million or something.
Susan Panuccio: We don't comment on obviously Craig, on the forward looking projections, but obviously as they become clearer, we will communicate those.
Craig Huber: What would they ask for March quarter if you had it all already in there Foxtel?
Susan Panuccio: We have that in the prepared comments actually. We read that out. We had D&A for the first nine months totaled 187 million, including 69 million for the quarter and then we also amortized an additional 49 million year to date, or 17 million for the quarter in relation to the CMH acquisition.
Operator: Next question comes from Brian Han with Morningstar.
Brian Han: Just out of interest, does Mr. Rupert Murdoch still spend much time thinking and talking about News Corp businesses or do you think he's increasingly more preoccupied with what's going on in Fox.
Robert Thomson: Well, I can only speak for our experience which is that Rupert is very much engaged in the company, actively so, as Executive Chairman. He is across all the businesses and his level of interest remains intense.
Operator: [Operator Instructions] And our next question comes from Raymond Tong with Evans and Partners.
Unidentified Analyst: Robin in. Susan, you mentioned that you have passed the 40 million sort of cost out Target this year for News Corp Australia, can you maybe talk about sort of further cost out opportunities in also, you mentioned exploring sort of potentially sharing printing costs with Fairfax, can you maybe just discuss that a little bit please.
Susan Panuccio: So the team in Australia continue to remain focused on how they can drive those efficiencies down and they have been looking right across the business, whether it's back office functions and organizational redesign and there's been some announcements that have come out in the market out there, anyway over the previous couple of months. In relation to the industry solutions, I think as I said globally we’re actively looking at whether they are opportunities from a press side facility as well as the distribution facilities and we will continue to explore those options. Obviously, they need to make sense for both book parties and they can be quite detailed and join our commercial negotiations, but we have had tremendous success with those negotiations over in the UK and we’ve had much success and we have no reason to believe that we can't draw similar conclusions in other markets that we're having a look at. So the team do continue to remain focused on replacing legacy systems, removing antiquated practices and draw I think efficiencies by those means and we believe that there's still opportunities where they can continue to get cost out going forward.
Operator: And there are no further phone questions at this time. So I'd like to turn the call back over to Mike Florin for any additional or closing remarks.
Michael Florin: Thank you for all participating. Thank you for your help Sophie. Have a great day and we'll talk to you soon.